Unknown Executive: At this point, we'll start the earnings announcement for the first quarter of fiscal year 2018. I'd like to introduce our speakers today: We have Executive Vice President, Chief Financial Officer, Hiroki Totoki; Corporate Executive and Senior General Manager of Finance Department, Atsuko Murakami; VP Senior General Manager of the Global Accounting Division, Hirotoshi Korenaga. Today, Mr. Totoki will give you the consolidated financial results for the first quarter of fiscal '18 as well as the forecast for the full year fiscal 2018 to be followed by time for questions and answers. And we shall be spending some 40 minutes altogether. Mr. Totoki, will you please start? 
Hiroki Totoki: Thank you for your time today. Today I would like to explain these 2 topics in the next 15 minutes. Fiscal '18 Q1 consolidated sales increased 5% year-on-year to JPY 1,953,600,000,000 and consolidated operating income increased 24% year-on-year to JPY 195 billion. Net income attributable to Sony Corporation stockholders for the quarter was JPY 226.4 billion, approximately 2.8x that of the same quarter of the previous year. As is shown in this slide, operating income in the same quarter of the previous year included certain extraordinary items. Excluding these extraordinary items, adjusted operating income would have increased JPY 74.2 billion from the JPY 120.8 billion of the previous year to JPY 195 billion in the current quarter. This slide shows income before income taxes excluding certain extraordinary items. During the current quarter, a total of JPY 112.8 billion was recorded in nonoperating income for unrealized and realized gains on shares of Spotify. Excluding these extraordinary items, the adjusted income before income taxes would have increased JPY 87.2 billion from the JPY 112.1 billion of the same quarter of the previous year to JPY 199.3 billion in the current quarter. This is not shown in slide, but if the impact on income taxes of these extraordinary items was approximated using the effective tax rate of each quarter, then excluding these extraordinary items, adjusted net income would have increased JPY 83.3 billion from the JPY 57.5 billion of the same quarter of the previous fiscal year to JPY 140.8 billion in the current quarter. This slide shows the results by segment for Q1. 
 Next is the consolidated sales forecast for fiscal '18. The consolidated sales forecast has increased JPY 300 billion to JPY 8.6 trillion as a result of upward revisions, primarily in the Game & Network Services segment. There is no change to the consolidated operating income forecast from April. Primarily because the amount of unrealized and realized gains on the share of Spotify that I mentioned earlier exceeded the amount in the -- in our April forecast. We have revised upward our forecast for income before income taxes to JPY 760 billion and our forecast for net income to JPY 500 billion. And we have changed the assumed foreign exchange rate for the 9-month ending March 31, 2019, to JPY 110 to the U.S. dollar and JPY 127 to the Euro. We expect to issue an interim dividend of JPY 15 per share. 
 The fiscal year forecasts for each segment are shown on the slide. As you can see, we have changed the forecasts for several segments, and I will explain each, when I discuss segment results in a moment. We have incorporated JPY 73 billion contingency budget in All Other, Corporate and elimination. In addition to general risks, such as those related to the economy, the competitive environment and changes in foreign exchange rates, we believe there are risks related to our smartphone business, which I will explain later, and the risks related to component procurement, especially multilayer ceramic capacitors, which we use in a variety of electronics products. I will now turn to the situation in each of our business segments. 
 First I will talk about Game & Network Services segment. Fiscal '18, Q1 sales increased 36% year-on-year to JPY 472.1 billion and operating income increased approximately 4.7x year-on-year to JPY 83.5 billion. This significant increase in sales and operating income was primarily due to an increase in sales of PS4 software, including through the network. We have revised upward our sales forecast to JPY 2,180,000,000,000 and our operating income forecast to JPY 250 billion. The upward revision in forecasted sales is primarily due to an upward revision in PS4 software sales, an impact of foreign exchange rates and an upward revision in our unit sales of PS4 hardware. We revised upward PS4 software sales to reflect the fact that our first-party title, God of War, and other third-party titles are significantly exceeding our expectations, and the titles we announced at E3 are receiving strong feedback. We revised our PS4 hardware unit sales forecast to reflect recent strengths in annual sales, primarily due to the impact of the increase in sales, we revised upward our operating income forecast.
 Next we'll talk about the Music segment. Fiscal '18 first quarter sales increased 8% from previous year to JPY 181.5 billion. And despite the negative impact of a change in accounting standards, sales increased mainly due to an increase in streaming revenue and continued strong performance of mobile gaming applications, such as Fate/Grand Order. Operating income increased JPY 7.1 billion year-on-year to JPY 32.1 billion. Due to an increase in one-time expenses, equity in net loss for EMI, which operates a music publishing business, was recorded in the current quarter compared to equity in net income in the same quarter of the previous fiscal year. But impact of the increase in sales resulted an increase in overall segment profitability. And we have revised upward our April forecast for sales and operating income to JPY 760 billion and JPY 115 billion, respectively. We also revised upward operating income mainly due to an expected benefit of cost improvements and positive impact of foreign exchange rates, which are partially offset by the deterioration of equity in net income, that I just mentioned. 
 Today we announced the Nile Acquisition LLC, a consolidated subsidiary, which owns some 40% of EMI, has become a wholly-owned subsidiary of ours. In addition to this, we were able to close our previously announced transaction to acquire the remaining 60% interest in EMI, EMI will become a wholly owned subsidiary of Sony, and that will make Sony one of the world's largest Music publishers, administering over 4 million songs. We aim to continue to capitalize on the growth of the music publishing business, resulting from the growth of streaming services among others. 
 Next talking about the Pictures segment. The fiscal 2018 first quarter sales dropped 15% year-on-year to JPY 175.1 billion. This decline in sales was primarily due to lower licensing revenue from the U.S. television series compared to the same quarter previous year, and a decrease in advertising revenues in Media Networks business compared to the same quarter from the previous year, when we had the broadcast rights for the Indian Premier League Cricket Competition. An operating loss of JPY 7.6 billion was recorded. Despite the impact of the decrease in sales, loss decreased JPY 1.9 billion compared to the same quarter previous year in which advertising costs were recorded for the July 2017 release of Spider-Man: Homecoming. Due to the impact of foreign exchange rates, we have revised upward the fiscal '18 forecast for sales to JPY 990 billion and operating income to JPY 44 billion. 
 Next talking about Home Entertainment & Sound segment. For the quarter, sales increased 6% year-on-year to JPY 272.1 billion, and operating income declined JPY 5.2 billion to JPY 17.4 billion. This increase in sales was primarily due to an increase in unit sales of televisions, mainly in Europe and an increase in sales of audio products, mostly headphones. And operating income declined primarily due to an increase in the allocation for indirect expenses incurred by sales companies, despite an increase in sales. The full year forecast remains unchanged from April. We expect to record the same level of operating income, as we did last year. During the quarter, we began selling 4 lines of new 4K BRAVIA TVs, including OLED TVs. Thanks to Sony's proprietary, high-performance image-enhancement engine, these TVs render superb images, which make you feel as if you're really there by leveraging the unique characteristics of OLEDs and LCDs. In addition, our OLED TVs continue to use the acoustic surface technology, which creates sound by vibrating the screen. We aim to differentiate our products using these proprietary technologies and continue to bring high value-added products to our customers. 
 Next is about Imaging Product and Solutions segment. For the quarter, sales increased 6% from the previous year to JPY 164.2 billion and operating income increased JPY 2.9 billion to record JPY 26.1 billion. The increase in sales and operating income was mainly due to an increase in sales of high value-added products, primarily interchangeable lens mirrorless cameras and lenses themselves. The full year forecast was revised upward to JPY 670 billion for sales and JPY 78 billion for operating income, primarily due to the impact of foreign exchange.
 On June the 28, we announced the world's lightest, large aperture super-telephoto lens with a 400-millimeter focal length, and maximum large aperture of F2.8, which is designed for the 35-millimeter format. Aside from the high-quality images that this G master lens can render, its light weight and maneuverability meets the high-level demands of professional photographers not only when shooting sports and the news, but also when capturing wildlife. Once we start selling this product, we will have 29 full-frame interchangeable E-mount lenses. We will continue to expand our lens lineup in order to meet the diverse needs of professionals, and we will work to solidify our position in the full-frame mirrorless camera market. 
 Next I will talk about the Mobile Communications segment. FY '18 Q1 sales decreased 27% year-on-year to JPY 132.5 billion due to a decrease in unit sales of smartphones, mostly in Europe and in Japan. An operating loss of JPY 10.8 billion was recorded in the current quarter compared to a profit in the same quarter of the previous fiscal year, primarily due to the impact of the decrease in sales. We have revised our sales forecast downward to JPY 610 billion and our operating loss forecast to JPY 30 billion. This downward revision is primarily due to the negative impact of foreign exchange rates and a reduction in expected unit sales of smartphones, primarily in the first half of the fiscal year, reflecting recent sales results. Since there is a risk that the competitive environment will become even more severe, we have begun to assess the impact on smartphone unit sales in the second half of the fiscal year and the countermeasures we will implement, if the risk becomes reality. As a result of this assessment, there is a risk that we will have to revise our forecast downward further for the current fiscal year and revise our mid-range plan. 
 Next I will talk about Semiconductor segment. The Q1 sales were essentially flat year-on-year at JPY 202.2 billion, although insurance recoveries related to the Kumamoto earthquakes were recorded in the same quarter of the previous fiscal year, sales of image sensors primarily for mobile devices increased. Operating income decreased JPY 26.3 billion year-on-year to JPY 29.1 billion. 
 As is shown in this slide, several extraordinary items were contained in the same quarter of the previous fiscal year. Excluding these items, adjusted operating income would have increased JPY 7.5 billion (sic)[ JPY 7.9 billion ]. This increase was mostly due to the increase in sales of image sensors for mobile devices. We have revised our FY '18 sales forecast upward to JPY 890 billion and operating income to JPY 120 billion. This change is mostly due to the positive impact of foreign exchange rates. 
 On July 23, we announced the release of an image sensor, which has an ultracompact pixel size of 0.8 microns, making it possible to pack 48 effective megapixels into a 1/2-type unit. 0.8 micron is a world first, and 48 megapixels is the highest pixel count in the industry. One of our strengths is our unparalleled ability to develop cutting-edge technology that also has a practical use, well ahead of our competitors. We aim to continue this advanced product development going forward. 
 Next I will explain the Financial Services segment. In Q1, Financial Services revenue increased 11% year-on-year to JPY 335.2 billion, primarily due to an increase in the policy amount in force at Sony Life. Operating income decreased JPY 5.6 billion to JPY 40.6 billion. This decrease was primarily due to an increase in operating expenses and the recording of a valuation loss on investment securities in the general account at Sony Life as well as a change from a foreign exchange gain on foreign-currency denominated customer deposit at Sony Bank in the same quarter of the previous fiscal year to a foreign exchange loss in the current quarter. The FY '18 forecast remains unchanged from April. Lastly, I will show you the results on segment basis again. This concludes my remarks. 
Unknown Executive: Now the floor is open to your questions. Those of you with questions, please wait for the microphone and please identify yourself by stating your name and affiliation before asking the questions. Please confine the number of questions to 2 per person. 
Kota Ezawa: Ezawa of Citigroup. 3 questions if I may. First... 
Unknown Executive: Confine to 2 please. 
Kota Ezawa: Okay, then 2 questions. In the headquarters and elimination JPY 73 billion downward revision, what's the breakdown of it. And you said smartphones, but for one thing, is smartphone all included in this number, or to what extent is it included? And also the downward revision in conjunction with the second half, what do you assume would be some -- [ should in case your ] reduction of business further? Or do you think there'll be another possible impairment, another step of it and have this number here? And the second, PlayStation Plus subscribers number is on the decline based on the [ annex stand out ], and I'd like to find out the reason behind that? And the segment results of Game was very good, but then the profit generation mainly comes from game software. And what is the degree of contribution of PS Plus to the results of this segment? 
Hiroki Totoki: So first -- the first question about risk buffer of JPY 73 billion, we -- it is included in the headquarters and the elimination -- corporate and elimination. We do not disclose the breakdown of this, but the main part has to do with the mobile communication. Other than that as I mentioned, the Electronics component procurement difficulties in like multilayer ceramic capacitors are macroeconomic situation like China U.S. trade conflict and also the exchange rate. So these are included in that. And the second question, PS Plus subscribers number. Compared to the initial assumption and the current point, there are no such major differences. Especially the fourth quarter of the previous year, the online multiplay hit title was put on the market and so at that timing, the number of subscribers of PS Plus increased substantially. And in view of that, this time the number is on the stay. But from September to October, the major title release is planned and then at that time, there may be another step up upward in the increase of subscribers. And also games profit, we made the upward revision and the major factor there was in terms of contribution to profit, the first-party title was hit and that was the biggest contribution in terms of absolute amount. And then third party title hit as well. But our assumption is that the third-party titles contribution was greater than -- much greater than our expectation and we could not really foresee such contribution. 
Unknown Executive: Please raise your hand if you have questions. 
Masaru Sugiyama: Sugiyama, Goldman Sachs. I would also like to ask 2 questions please. First of all movies. The TV production, so a decline in sales revenue. Can you give us the background as to why there is this decline? And also, in-house production of the programs is happening in the industry. So how does Sony fare in this trend as many peers are producing programs in-house? And secondly about the game market, so first party and third party free-to-play titles were subject to upward revision in profitability. But how do you look at this market midterm, particularly comparing the pipelines from first party and third party game makers. Do you think there's room for further growth after next year over midterm? Two questions therefore, please. 
Hiroki Totoki: Thank you. About our Picture segment and particularly TV production, the revenue decline and why this is happening, the background situation was what you asked for. Now last year, Last Tycoon, the title which contributed to that was suspended, so we no longer have this, this year. And also last year, Better Call Saul, which we had in the first quarter but there was a delay in the broadcasting. Therefore, it's going to be posted in the second quarter. Therefore the first quarter saw a decline due to these reasons. And for the game business -- as for the game business, we've seen [indiscernible] first quarter, how it will impact to our midterm results will be difficult to measure such impact as yet but as you know, there is shifting to digitalization and also networks obviously is increasing and so-called add-on services. There is a diversity of revenue models on this platform. And therefore, the business composition, the business structure is changing little by little. We're aware of that, but the platform is supported by the hit titles and the business by nature is volatile, so we'll continue to watch this business very carefully. 
Unknown Executive: Next question please. So this block, the fourth row please by the aisle please. 
Yasuo Nakane: Nakane, Mizuho Securities. I have 2 questions. First Slide Page 18 and 19, cash flow is my question, that is globally. What is the segment breakdown of this cash flow? And then now the revision was made [ of the ] annual outlook forecast, how was it changed after the revision? Could you please be very specific and give us the details about that especially the game in short-term? How was that -- did that bring the impact on the cash flow? The second question is about semiconductor. CMOS sensor demand condition has changed in the last several months, dual as well as triple is likely to increase [ to be adapted at ] Samsung for example. DRAM plant conversion was announced by Samsung. So if -- my personal estimate is that in order to try to keep your major customers maybe 2 years from now, your capacity will be too short during the first half of 2 years from now. So what is the latest analysis of the business environment? As by making use of your currently available space, how can you expand your production capacity 20k or the 15k something was mentioned? But can you further increase your capacity? For example, a new plant that you can consider? And so what is the capacity increase plan? 
Unknown Executive: Thank you. As to the cash flow, Ms. Murakami will comment on this. 
Atsuko Murakami: Thank you very much. The segment break down cash flow, so the actual result of this January to this period, the first quarter rather, the major positive contribution was thanks to the Game & Network Services, big profit thanks to that section. And necessary operating expenses taking into account but the operating income is positive and the investment cash flow was rather small, so that operating cash flow and then investment cash flow the total positive contribution made by that. The second one, the good one is the Music segment. Because good profit so that the operating cash flow was positive. Spotify, this stock was sold and [ cash stream ] was recorded, even investment cash flow was a major positive. In Spotify, the securities sold [ JPY 832.5 billion ], [ cash stream ]. Except for the Spotify sale, the operating cash flow and then the investment cash flow in total positive figure was recorded and in addition. Semiconductor, for example, semiconductor side, the operating expenses taking into account and then operating cash flow and then I think it was similar to the investment cash flow, so actually it was almost break even state. And other Branded Hardware and others, IP&S, HES, so the operating cash flow was at the end of March, the inventory was rather heavy, a lot of inventory, [ but about ] the inventory stock level. [ HES ], the inventory was slightly heavy. And in semiconductor, we had slightly big inventory. Because of that, for example, in total, however, inventory was not increasing at all. So let me come back to the Branded Hardware. And so because of that impact in the stock inventory was not [ increasing ], so that the cash out level was rather small so that operating cash flow negative figure was rather contained small, in total it was small. And capital investment spending and in that cash flow was negative. So in total it was negative. And what about remaining mobile communication pictures? The profit was also negative there. So cash flow also was negative minus and then what is outlook of forecast. Of course the forecast wise [indiscernible]. First, in the upcoming 3 years in the midterm, more than JPY 2 trillion of cash flow should be created [indiscernible] FY '18. For this [ time ], the operating cash flow of over JPY 700 billion is expected. So in 2017 actual figure was due to the extraordinary factor like earthquake insurance payment received by us, tax payment was delayed, postponed to 2018. And at the end of the period that unpaid portion was also recorded. So compared to that of the 2017, 2018 operating cash flow is slightly lower or declined, but still JPY 700 billion was secured. So year-on-year comparison, there is a slight declining trend but stable cash flow is likely to be generated. As to the investment cash flow that except for the financial services, JPY 335 billion, so that no change to that figure but actually, the cash out timing and there is a timing delay at the end of the term, so that the JPY 335 billion-plus-minus certain delayed timing issue. And then the strategic investment wise already we have announced EMI investment. And then cash out timing is not yet decided, but we are still scheduled to do that. And as to the other strategic investment, a [ peanut ] investment of JPY 277 million or JPY 17.7 billion -- or JPY 177 million rather, so that anyway. Just Spotify sales made big revenue. So these are all the factors taken into account in our forecast. 
Hiroki Totoki: About my answer to the Mobile Sensor and the semiconductor, which was a part of your question, so let me answer that part of the question on Semiconductor. The demand in the overall market in the fiscal 2017 last year, JPY 3.8 billion. And then for fiscal '18 this year, JPY 4.2 billion, so there's an increase in this fiscal year. So what are the driving forces double and then the multi-lens cameras and so on. But these cameras are to be applied to those cameras and then 30% last fiscal year and that will increase to about 40% or so this year. So that is external analyst view on how that kind of camera will increase. So it's not that different from our own internal forecast. So based upon that assumption what about the future capacity expansion plan that was just I think your question. Specifically, very strategic story is capacity increase so that we [ cannot ] refer to that specifically, but as of now taking into account business environment, in what way we should approach the issue of capacity. Well, at present, that is may be the major challenge for our business management. So the top management is continuing a discussion on this because it is a priority matter in capacity. 
Unknown Executive: Next question please. 
Junya Ayada: Ayada of Deutsche Bank Securities. And 2 points, mobile and music. First about mobile communications. Mr. Totoki earlier mentioned that this year risk may surface and taking counter measures in preparation for that and if you could further expand on that type of risks, you are talking about, is that the market wise risks or internal operation based risks, which is it? And then countermeasures, it may be very difficult to elucidate, but you have risk asset in excess of JPY 60 billion, would you be cutting into that? Or as the result of devising the countermeasures, what do you think the picture you think you like to achieve next fiscal year, if you could share? And the second point Music segment. You talked about the acquisition of equity of Nile and including the equity acquisition of EMI, so you have decided on the investment to the tune of JPY 300 billion in the coming 3 months or so. What is the background to such accelerating investment and yesterday there was an announcement that Vivendi will release half of Universal shares. And if the landscape is changing in a substantial way in the recent months, what do you think would be the opportunity for you and how are you going to capture such opportunity? 
Hiroki Totoki: First the risks related to mobile communications, so far as current fiscal year is concerned, the biggest possible risk would be a further decline in sales. That would be the biggest risks you -- we would anticipate and assume and therefore the first half, there has been a drop in sales in both Europe and Japan. And as we discussed during the IR day, we are trying to establish a set up so that we can generate stable profit with the sales of about 10 million units. And in this regard, we keep this policy direction. And whether we should accelerate such a policy implementation or not, something we will further verify in the process of working on the countermeasures. And then basically, what is the major challenge for us in this business? As we have been saying, operation itself has been improved substantially, but the product competitiveness is still lagging behind the top class competitors. So this continues to be a challenge for us. So this time we see the change of management so that as a part of Sony's Branded Hardware and generate a good synergy with technology and the Branded Hardware business as a whole to enhance our product competitiveness. And based on that we like to identify how we can maintain a sustainable business on what scale. So we will not be changing a policy direction in a major way, but we will be taking measures for that. You talk about risk asset, for mobile communication segment asset is about JPY 30 billion after the first quarter, and half of that comes from smartphone business -- smartphone asset.
 About the Music segment, the background to making decision about the substantial investment is that at this timing, we were about to decide whether to acquire the partners equity of EMI or not. And there was the option and in -- when we made this deal in 2012, there was this provision for the option. So this is one of the timings and another factor is the global growth of streaming business and to that market of streaming we are to capture the upside part of that and through that we can achieve major synergy. That's one of the factors. As you know, this asset is really a cash cow type of asset. And low risk and low return type of asset. It is annuity type of asset. So when after we made this decision and announced this investment, our credit rating was upgraded. And that's one of the indicators to see the degree of risk about the sales of this asset at this timing. Next question. 
Unknown Executive: The next question will have to be the last one, we are losing time. 
Ryosuke Katsura: Katsura, SMBC Nikko Securities. Two questions, one on Semiconductors and also about revisions you are making and first of all Semiconductors. I always ask this question. What's the change in regard to wafer business? And also what's your view of the market currently? And as we see is tight and prices being raised and that in your Image Sensors business, I think in the market we hear that prices are being raised. So can you talk about your business situation and also your view of the market? And also the rate of operation of your plant? And the second point is about you have now the buffer of about JPY 70 billion -- JPY 73 billion, but excluding this buffer budget, you've made revisions some up, some down. Can you give us some additional explanation about why you're making these revisions. Because emerging currency is down and you have the buffer of JPY 30 billion for that. And how are you making the revision on that account? And so are you making revisions because of the results you've seen in the first quarter? So what stands out about your revisions that you're planning to make? 
Unknown Executive: So first of all about the current situation in the Semiconductors business, particularly the rate of operations, Mr. Korenaga will answer that question. 
Hirotoshi Korenaga: So how we're using the capacity. For the master process, we have 100k per month is the capacity for the [ end of the process ] and in the first quarter, the actual results was 910 -- 91,000. And forecast for the second quarter is on average, we produced 99k, which is basically full operation of our capacity. And about price, there is no major change to what you have mentioned here. And we've made some upward revisions in our business segments, we can explain in different terms. And ForEx impact is significant. So Ms. Murakami will talk about that. 
Atsuko Murakami: The ForEx issue, particularly the impact from emerging currencies in 2018 in our full forecast compared to the results for fiscal 2017 in the Electronics business in total. There is a negative impact of JPY 21 billion from ForEx translations in emerging markets, including China, excluding Japan, Europe and United States, they account for 25% in sales on a consolidated basis. So as we include China this proportion is very significant for us. And our assumption for the emerging currencies between April and July, there is some change made because back in April, Brazil Real was JPY 30.8 but in July, it's JPY 28.7. And so that difference is between the second quarter and fourth quarter. In China, it changed from originally JPY 16.2 to JPY 16.9 and Indian rupee JPY 1.56 to [ JPY 1.61 ]. Russian ruble also changed from JPY 1.71 to upward JPY 1.76. So the assumptions change over time and compared to fiscal 2017, therefore, the results were negative. And dollar yen, in the dollar yen our view, particularly the sensitivity on this remained the same as we have announced in April. JPY 1 higher in yen means positive JPY 30.5 billion. Against euro, if yen is stronger by JPY 1, it's negative JPY 5.6 billion. And also, the big currencies 1% strength in yen is translated to a negative JPY 3.5 billion in the consequence. 
Unknown Executive: And this concludes our session for the earnings announcement. Thank you very much for your participation.